Operator: Good day, ladies and gentlemen, and welcome to the Casella Waste Systems, Inc. Third Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Joe Fusco, Vice President of Communications. You may begin.
Joseph S. Fusco: Thank you for joining us this morning, and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ed Johnson, our President and Chief Operating Officer; and Ned Coletta, our Senior Vice President and Chief Financial Officer. Today, we will be discussing our third quarter fiscal year 2014 results. These results were released yesterday afternoon. Along with a brief review of those results and an update on the company's activities and business environment, we'll be answering your questions as well. But first, as you know, I must remind everyone that various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the SEC's Safe Harbor provisions. Actual results may differ materially from those indicated by those forward-looking statements as a result of various important factors, including those discussed in our prospectus and other SEC filings. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change. And therefore, you should not rely on those forward-looking statements as representing our views as of any date subsequent to today. Also, during the call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the financial table section of our earnings release, which was distributed yesterday afternoon and is available in the Investors section of our website at ir.casella.com. Now I'll turn it over to John Casella, who'll begin today's discussion.
John W. Casella: Thanks, Joe, and good morning and welcome to our fiscal year 2014 third quarter conference call. Today, we plan to discuss the third quarter results and to provide you with an update on our midterm strategy. I will start with a brief overview. Ned will take us through the numbers and Ed will review the operations. As we noted in our press release, the positive trends we experienced in the first 6 months of the fiscal year were interrupted in our third quarter, mainly due to negative impacts from inclement weather, which remained severe and persistent even by Northeastern United States standards. Having said that, when you adjust for the weather, this quarter was up $400,000 in EBITDA year-over-year or over the third quarter last year. Anyone who lives in the Northeast understands first-hand how bad this winter has been, but those lucky individuals who escaped the wrath of nature, I'll lay out a few statistics to give you a sense of the challenges that our team faced. We experienced 29 days with temperatures in the single-digits or below 0, 23 days of snow, 8 days of rain and we had 5 major freeze-thaw cycles, which presented some of the largest challenges. In fact, just yesterday, the Federal Reserve in their Beige Book report detailed the negative economic impact due to severe cold temperatures and a series of winter storms. They've yet to quantify the exact negative impacts on the economy, but they do believe that the Northeast economy was adversely impacted. Overall, we estimate that weather negatively impacted our adjusted EBITDA by approximately $2.1 million during the quarter. This breakdown -- breaks down as follows: In the collection line of business, we estimate that our productivity was roughly 8% to 10% lower-than-normal winter period due to the frequency of weather events. In the landfill line of business, we estimate that our tonnages were down roughly 25% on storm days from their average run rates or roughly 40,000 tons in total during the quarter. In the recycling line of business, we estimate that our processing throughput was down roughly 25% in the quarter due to the icing materials. Unfortunately, with the freeze-thaw cycles create significant issues in terms of productivity in terms of trying to get the material through the facilities in an efficient, productive manner. Also in the line of -- in the recycling line of business, we were further exacerbated by maintenance and labor issues during the quarter. The good news, come sleet, snow, rain, ice, we were able to take care of our customers and kept our people safe. And in spite of the snow and sleet, the senior management team remains committed to the 4 strategies to improve our core operations: Increase financial performance and improve shareholder returns. These strategies are sourcing incremental landfill volumes, to which we had significant success year-to-date with approximately 290,000 tons on a year-over-year basis improvement. Second, improve collection route profitability. Ned will speak to that in his remarks a little later in the presentation. And then completing our multiyear Eastern region strategy and then driving value with Customer Solutions. We continue to make great progress against these strategies and remain focused on reducing risks throughout our business to improve financial stability. Moving on, I'd like to highlight several key strategic wins over the past several months, including in November, we received our permit increase at our Waste USA landfill from 370,000 tons per year to 600,000 tons per year. In November, we received our permit at Juniper Ridge Landfill to accept 81,800 tons of in-state MSW annually. We have appealed the terms of this permit due to lower-than-expected annual limit and short term. In November, we sold development rights to a feed-in tariff through the solar project for $2.3 million in cash proceeds. In early December, we completed the sale of our equity investment in GreenFiber for a net cash proceeds of $3.5 million and eliminated a parent debt guarantee. In mid-December, we acquired a well-positioned transfer station in Oxford, Massachusetts, from Advanced. This transfer station will help us internalize additional volumes to the Southbridge Landfill. And in late February, we were awarded a $7 million grant from the Pennsylvania Department of Transportation to build out the rail infrastructure at our McKean landfill. It's a very exciting opportunity for Casella where we can leverage this grant money and the required 30% contribution from Casella to fully build out the rail infrastructure at McKean over the next 2 years. As we've previously discussed, the McKean landfill has 2 distinct permits, one that allows us to accept 1,000 tons per day by trucks; and the second, it allows us to accept 5,000 tons per day by rail. We're currently mapping out our development plan and commercial strategy, and we'll provide additional updates as we make progress on the project. And with that, I'll turn it over to Ned to go through the numbers.
Edmond R. Coletta: Thanks, John. Revenues in the third quarter were $117.9 million, up $5.7 million or up 5.1% year-over-year. Solid waste revenues were up $3.6 million year-over-year or 4.3%, with the increase mainly driven by higher disposal volumes, acquisition activity and higher collection pricing and volumes. Revenues in the collection line of business were up $2.8 million year-over-year, with price up 0.9% and volumes up 1.6%. Our pricing programs in the commercial and residential lines of business remained on track with positive 1.7% pricing in the quarter, and we continue to make progress in the roll-off line of business with volumes up 4.6% year-over-year. Revenues in the disposal line of business were up $1.7 million year-over-year. Excluding the decline in revenues due to the divestiture of Maine Energy, disposal revenues were actually up $2.7 million year-over-year. Pricing was down 0.4% in the disposal line of business year-over-year, with the decrease mainly driven by waste mix shifts, with 2 major factors coming into play: One, we had a higher percentage of long-haul tons at our Western New York landfills; and two, we continued our efforts at the Waste USA landfill to have third-party haulers pay their own taxes and district fees. Our landfill volumes were roughly 1 million tons in the quarter, basically flat year-over-year, and this excluded a positive impact we had in the third quarter from some additional Worcester soils volumes. As John discussed, weather negatively impacted volumes in the landfill line of business, with volumes down roughly 25% on severe weather days. This resulted in a miss to our forecast of roughly 40,000 tons in the landfill line of business. We do continue to track well against our full year volume goal at the landfills, with landfill volumes up 290,000 tons year-to-date, year-over-year. Recycling revenues were down 5.1% year-over-year, with recycling commodity prices up 2.5% and shipped volumes down 5.5%. The year-over-year increase in recycling commodity prices was driven by higher mix container prices, partially offset by a slight decline in fiber prices. The Yellow Sheet was out yesterday afternoon and fiber prices are up $15 a ton in the Northeast for March. This increase is most likely driven on the supply side, with volumes down to the bad winter weather and the normal seasonal down trends we see. Other revenues were up $2.7 million year-over-year, with organics revenues up $100,000 on higher volumes and Customer Solutions revenues up $2.6 million on organic growth and the acquisition of Industrial Services Company in the second quarter. During the quarter, we recognized $4.4 million of revenues from the rollover impact of acquisitions, partially offset by $2.1 million reduction associated with divestitures. Adjusted EBITDA was $18.1 million in the third quarter, down $1.7 million from the same quarter last year. Solid waste adjusted EBITDA was $18 million, down $400,000 year-over-year, with the decline driven by the negative impacts from the severe winter weather, with productivity down in the hauling line of business and tonnages down -- slightly down in the disposal line of business. Recycling adjusted EBITDA was negative $400,000 in the quarter, down $1.3 million year-over-year, with this decline driven by lower shipped volumes and higher operating costs due to lower throughput with winter weather events and some unplanned maintenance events. Adjusted EBITDA was $500,000 in the Other Segment, flat year-over-year. Cost of operations was $6.2 million -- was up $6.2 million year-over-year, with the majority of the increase resulting from higher solid waste and Customer Solutions volumes, bad weather that impacted productivity and higher maintenance and gas treatment costs. General and administrative costs were up $1.1 million year-over-year, with the increase mainly driven by higher labor costs, as we've added several key administrative and sales roles, and several nonrecurring onetime costs. G&A costs were up $400,000 year-over-year, largely due to higher landfill amortization on increased volumes at select sites and higher amortization associated with acquisitions, partially offset by lower depreciation at Maine Energy. During the quarter, we recorded a $1.4 million charge for deferred costs associated with the landfill gas pipeline project that was no longer deemed viable. Our leverage was basically flat sequentially, with total debt to bank EBITDA at 5.08x, total debt at $513.3 million and true availability to our tightest covenant at $55.5 million. Given our solid performance year-to-date and visibility into our fourth quarter, we have maintained our revenue, adjusted EBITDA and free cash flow guidance ranges for fiscal '14. One thing to note, after we file our 10-Q for the quarter, we do plan to file a new S-3 universal shelf registration with the SEC. Our current shelf registration expires this summer. And as a matter of good treasury management, we believe it to be in our best interest to have a current shelf registration on file. We do not have any immediate plans to issue debt or equity securities. This filing merely gives us the flexibility in the future by reducing the execution time for offerings. And with that, I'll pass it to Ed. Thank you.
Edwin D. Johnson: Thanks, Ned. Good morning, everyone. On the last call, I made a reference to the fact that our guidance, which was raised after Q1 and after Q2, only reflected the progress we made in the first 2 quarters, as we did not feel comfortable forecasting to stay ahead of pace in our seasonally weak third and fourth quarters. We were bracing for a hard winter. That's what we got. And fortunately, we anticipated it. I also mentioned that some of the drivers for our success in the summer could increase our seasonality a little bit. This also proved to be true, so I thought I'd give you a little more color on that. The acquisition of BBI, which closed in December of 2012, has been a very good deal for us. We certainly enjoyed the benefits of most of their 100,000 annual tons making it into our landfills and continue to capitalize on the municipal relationships that, that management team there has. However, a good deal of the BBI business is located in the beach areas of Maine and is very seasonal. In addition, a portable sanitation line of business came with that acquisition, also very seasonal. Our emphasis on special waste on the landfill side has increased our seasonality as well. We've done a great job of improving our tonnages, but special waste tends to be project-driven and a large percentage is contaminated soils, outdoor work. These projects shut down in severe weather and often are deferred until spring once the ground freezes. As this is the low quarter in our year, it's hard to see the progress we're making, but we are continuing to make improvements and are setting ourselves up for a better start to the spring season in the new fiscal year. Looking at the quarter, John talked about the effect of the extreme weather on operating results. We have spent quite a bit of time analyzing each line of business to have a good understanding of where we are on an ongoing basis, normalizing for the weather. Our conclusion is that the collection side of the business appears to be solid and the landfills are performing well. In particular, the management changes that we made last year have proven out to be very beneficial, with several of our previously poorer performing hauling divisions showing definite improvement. Our landfill operating metrics have also improved as new managers at several of the sites have been able to make those sites more efficient. The recycling operation has a little more of a story to it, as a combination of factors came into play in the quarter. The weather was one, the 5 unusual freeze-thaw cycles that John mentioned caused significant processing issues, as melted snow re-froze the recyclable material into blocks. And with limited tipping floor space in most of our plants, created problems with throughput. In addition, we had some unusual maintenance issues on the equipment. This has been resolved and everything is back to full operation. The last significant item related to volume. As you can see in the back of the press release, commodity volume was down about $900,000 in the quarter. And this is primarily related to 2 new plants coming online in the Boston market. This is not a long-term problem, as volume in the market overall continues to increase steadily, and we have several opportunities coming up to replace the lost volume. I said that we have positioned ourselves for a better start to the spring season in the new fiscal year, so let me explain that. Regardless of the difficult weather, the business is healthy and the fundamentals continue to improve. Let me go through some of the key factors that I look at. On the hauling side, we continue to have good pricing discipline. The commercial and residential lines of business improved price by 1.7%, and this should continue. I have explained before that roll-off, where pricing is affected by distance and weight, distorts the combined pricing picture. So that is why we focus on commercial and residential as the main indicators of pricing health. The new and lost business report continues to be positive. We are winning on the street and improving our win rate on municipal bids, colleges and universities and other institutional opportunities where our sustainability solutions are well received. Last spring, we began the fiscal year with some unique fleet issues, including fuel capacity issues in our new CNG equipment and design issues on a new type of collection body that we had deployed. We did not have adequate spare capacity when the trucks with those bodies went down. We start this year with additional tank capacity on all of our CNGs and the body manufacturer has been working to retrofit the new body design with reengineered parts that will greatly improve their reliability. But perhaps more important, we will start the year with adequate spare capacity for those highly efficient trucks in each of our markets where they are used. This past year, we had to use 2 trucks to replace these trucks when they went down and for the period of time that they were out of service. We are continuing to improve our routing capabilities. We have had success in this area, though somewhat buried in the numbers this quarter, and the process of steady improvement in efficiently routing our trucks is continuing. Our landfill sales strategy is continuing to have success, and this is probably the most exciting area right now, with both the changes in what's going on in the market and with the success we have had in expanding our capabilities. I provided a lot of detail last quarter on capacity continuing to come out of the market in the Eastern region and Vermont and the New York City waste contracts that should use a substantial amount of capacity in upstate New York starting in 2015. John mentioned our permit expansion at Waste USA in Vermont, our success in getting an MSW permit at Juniper Ridge in Maine and the great news of the grant from the state of Pennsylvania to build out the rail spur at the McKean landfill. Although we're in the early stages of analyzing the specifics of the grant and how it'll work, it helps us solve the chicken-and-egg dilemma of getting people to commit volumes before we build the spur. So to sum it up, we had a tough winter from a weather standpoint, but we feel our team did a great job of managing through some difficult challenges and are feeling pretty good about where we are and how we're set up for the coming season. That concludes our formal comments. I'd now like to turn it back to the operator to open up the lines for questions.
Operator: [Operator Instructions] Our first question comes from Scott Levine of Imperial Capital.
Scott Justin Levine - Imperial Capital, LLC, Research Division: So it seems like I think, John, you said it was mainly weather this quarter, maybe there were a few other items that impacted your forecast versus internal. But you're more than expecting to make that up -- or expecting to make that up at a minimum with upside in the fourth quarter, which is enabling you to hold your guidance there. So maybe a little bit more color, was this the fact that your prior guidance was conservative, are you seeing some other tailwinds emerge within your business' upside drivers and your expectations, maybe a little bit of a elaboration, Ed, on your comments with regards to what to expect here as we move into the spring construction season.
John W. Casella: I think, Scott, it's a really good question. I think we are doing a much better job of budgeting for the third and fourth quarter. That's number one. Ed has done a good job there. I think the real caveat, quite honestly, is what happens from a winter perspective. To the extent that we see the winter normally go through March and April, then that's why we're comfortable with the guidance as it sits right now. We also have an awful lot of pent-up demand from a landfill perspective that just couldn't go into the -- could not go into the landfills because of the weather, because of the severe weather. A lot of projects shut down. At below 0, most of the special waste projects just simply shut down. So there's a lot that's in the pipeline right now that gives us comfort. The challenge there is what happens from a weather perspective. But I think it's our view that weather's got to break. And hopefully, that will be more normal seasonal break.
Scott Justin Levine - Imperial Capital, LLC, Research Division: I hope you're right there. As my follow-up, maybe a little bit of color, you're building -- or got the plan for the rail out to Pennsylvania. Can you remind us what happened? I know you had a lot of volatility with drill cuttings a couple of years ago. Are you seeing -- or what are your thoughts with regard to any signs of activity picking up? Obviously, gas prices have been very volatile. And what that can ultimately mean for your business in a couple of years, assuming pricing there moves higher, albeit slowly over the next couple of years.
Edwin D. Johnson: Okay. On the drill cutting side, we are seeing more activity. It's not that significant to our landfills yet, so -- but we do see more drilling activity, particularly in Pennsylvania moving west, which is a good thing for us because that's where McKean is. The -- I think your second question was about the rail?
Scott Justin Levine - Imperial Capital, LLC, Research Division: Yes.
Edwin D. Johnson: We were certainly very happy to get the grant last week. We have not gotten a grant before, so we're figuring out how it really works. So it's a little early stages. We had submitted our grant in a couple of phases, and they gave us the whole amount. So we believe we have a couple of years to build this out. We don't know yet. We're still trying to figure out whether we're going to do it in 2 stages or do the whole thing at once. It certainly is dependent on how much demand is out there and how much we need the whole spur.
Scott Justin Levine - Imperial Capital, LLC, Research Division: What kind of time frame to completion would you envision? I don't know if you'd said something there, but...
John W. Casella: It's something that's in development right now, Scott. We're looking at that right now. And I think as Ed said, it's really a matter of whether we build it all out this summer or whether it's built out in 2 phases.
Operator: Our next question comes from Michael Hoffman of Wunderlich.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Am I right when I interpret, within the context of reaffirming guidance, that the way the patterns fall seasonally, we'd probably end up at the upper end on the sale side but probably kind of in the middle of the EBITDA and likely to be sort of in the middle of the free cash range? Is that the right way to think about that?
Edmond R. Coletta: Where we sit with our forecast today, you're right, Michael, that the revenue we probably could have moved up a little bit. We've had some new customers come online in our Customer Solutions group that are higher-revenue, lower-margin customers, more brokerage customers. But we wanted to just maintain all 3 ranges. So I think you're looking at it the right way if you're higher end on the revenue side, midrange on the other metrics.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then to make the free cash -- it seems like you're going to have to kind of do a little bit of what you did last year about this time, which is get your folks in the finance department to squeeze on your receivables and payables. And so it's a working capital issue here. Can you talk us through your comfort level about being able to pull out about -- if you're going to be at the midpoint, kind of looks like around $8 million to $10 million of positive working capital as a source of cash in the fourth quarter.
Edmond R. Coletta: Yes. Our fourth quarter is typically a very positive working capital quarter, as you laid out, Michael. Typically, we see people pay their bills at a faster pace. The winter months for us, typically, our days sales outstanding increases a little bit and we see that come down into the spring. As you know, third-party haulers get more flushed with money and pay their bills at a faster rate. We also, at the end of the year, we have a little bit more management on our AP balances in the fourth quarter, typically is our cycle. And we have some various payments that we make in the third quarter on various operating leases, property taxes, you name it, that kind of come at a calendar year end. So we do expect a positive working capital trend through April 30.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And then I know we've talked about this loosely in other periods. But can we get a little bit more specific about when Covanta takes 1,500 tons per day to Niagara, they're displacing 1,500 tons. And when you think about where that -- and that's local volume. They're not long hauling those volumes that's being displaced there. That's coming from local market. Can you talk about what you -- how you've modeled and think about the flow of that tonnage out and what that means to you all, both in the ability to drive price, as well as capturing any of it?
Edwin D. Johnson: Yes. Actually, it's kind of a domino effect. But as you know that Covanta plant, their main role is to produce electricity. So they fill the plant, right? And so they're going to, in a normal year during the winter cycle, lower price, so that they capture enough -- they capture their total amount of waste that they need to burn to make electricity. So as they replace that now with New York City waste, then they don't have to play that game. And this particular plant is sitting between us and Canada. So they will then stop taking in the other waste, which then goes to a landfill that's close to there that also runs at capacity. And we actually have relationships with that landfill that we take some of their overflow now. So that -- it kind of goes through that landfill, so then now there's all this waste that doesn't have a home. So that comes down through the Western part of New York. And hopefully, we'll be the main beneficiary of that waste that's pushed out.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: And there's nothing that you see in the horizon that just intermediates that flow? That -- there shouldn't be a reason why something gets in the way of it.
Edwin D. Johnson: Not that we can see at this point.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And is there an opportunity to try and get in front of some of that volume from a contracting standpoint and lock it up sooner, so that it's absolutely cut or -- can -- is it so obvious it has to go by you that you don't need to do that?
Edwin D. Johnson: I'm not sure that we would want to do that because of the pricing dynamics in the market. If we want to lock up that waste now, it would be at a low price.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay, all right. And then as we think about the progress you made this year on tonnage, productivity, route density, reorganizational changes that have taken G&A down and you kind of roll into next year, I know you haven't done budgets and I'm not asking for precise guides. But if I think about it directionally, you should have better revenue, better EBITDA, better margins and better free cash flow compared to '14.
Edwin D. Johnson: Well, certainly, that's the trend. That's where -- I mean, I can't argue with that. And we're looking for it again, to seeing the budgets and to working through it to know exactly where we are.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. And so if I push on that a little bit, where does the source of the growth capital come from then to do something like the Lewiston, Maine, MRF or the rail spur beyond what you're generating in free cash?
Edmond R. Coletta: Yes. So when we look at growth projects, we are looking at detailed investment models. We're looking at the risk profile. And if we do decide to make investments above and beyond, we'll lay out some statistics for investors, just to get people comfortable about what types of returns we expect, what the cash flows will look like from those investments. We are full from a recycling standpoint today and we are pulling recyclables out of Maine down into Massachusetts, so we are looking at an opportunity to build a new recycling facility in Maine, that would be a growth opportunity for us. We'll update everyone on that after that decision's made. And then the rail opportunity, as John and Ed both pointed out, we're looking at the right approach there, whether it be investing fully in fiscal '15 or over a period of time. But once again, we'll provide some return statistics if we have growth capital expenditures in our fiscal '15 plan.
Operator: Our next question comes from Corey Greendale of First Analysis.
Corey Greendale - First Analysis Securities Corporation, Research Division: A couple of questions. First of all, on the weather impact, so I know you talked about this somewhat an answer to Scott's question. But given that the impact was on the tough weather days, is there any reason to think that materially all or most of the lost landfill volume won't come back as things thaw out?
John W. Casella: I think that one of the things that we've recognized is twofold. I don't think that -- we don't think that those volumes, from an MSW standpoint, will come back, because we think that economic activity is impacted and that waste, in particular, is not generated. I think the waste that will come back is the special waste. The special waste in terms of soils, remediation projects, those just got postponed. So that waste will come back. I think the other thing that happens, too, is people spend more time in their homes when you have 25 below 0. And if you think about it, we have fixed pricing on the residential side of the business and may have more activity from a residential standpoint. And on a commercial basis, you have less economic activity. And so those tons, I don't think -- the MSW tons do not come back.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay, that helps. And then I had a couple of questions on underlying pricing dynamics. I understand mix is affecting the Western region landfills. What are you seeing in the Eastern region landfills?
Edmond R. Coletta: As far as price or as far as volumes, Corey? Corey, as far as price or volumes?
Corey Greendale - First Analysis Securities Corporation, Research Division: Sorry, I was talking at the same time as you, price.
Edmond R. Coletta: Price? Yes. So in the East, we are seeing some positive pricing trends up until really this winter. The burn plants in Massachusetts have been extremely aggressive through this winter cycle. We've seen them cut prices 40% to 50% on spot tons and we've run at consequently lower volumes because we're not going to chase price down. But through the fiscal year, the first 6 months of the fiscal year, we saw positive pricing in the Massachusetts market, we saw positive pricing in New Hampshire and Maine. And now into the winter months, we see some pricing pressure there. This is a cycle we see each year. This year might even be more aggressive, but we are looking at strategies to have contracted volumes in Massachusetts and better internalization to normalize that out into the future.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And on the roll-off side, I understand that's, affected by mix. But maybe can you just speak to it, is anything in the near-term changing in terms of market dynamics that would make that move favorably for you?
Edwin D. Johnson: Yes, I believe so. But as you would well imagine, roll-off will drop pretty dramatically when the winter months come. We lose, our roll-off pulls from the second quarter to the third quarter are down about 15%, and that's the normal drop. And in that environment, very difficult to move price. Your pricing opportunities come in the spring when all your roll-off boxes are out on the street and activity is picking up.
Edmond R. Coletta: One thing to note on that Corey, too, the trends operate coming into the winter months. But this summer, if you look at our various markets, more of our urban markets saw a growth on the construction side than our rural or secondary markets, and we've started to order roll-off containers in those markets for the first time in 5 years probably. We had in the greater Boston market and several of the New York markets, we are buying roll-off containers. So it's a signal about inventory reductions and some pressure in that market. So this spring season, we would hope to see some pricing, and we'd hope to be a leader in the market as our inventory gets tight.
Corey Greendale - First Analysis Securities Corporation, Research Division: Let me ask you at a higher level, is -- where do you think pricing can get to in a normalized environment once the weather issue settles out? Maybe -- what are the prospects for getting to a point where you can offset cost inflation with price?
Edwin D. Johnson: Well, right now, as we've mentioned, our commercial and residential pricing is fairly strong at 1.7%. And I would think the roll-off pricing could be there or better if the spring season kicks off like we think it may.
Corey Greendale - First Analysis Securities Corporation, Research Division: And I just had one last one quick one. On the OCC prices, I'm not sure you've ever given, or maybe I just missed it, a sensitivity analysis on that, like the kind of dollar increase, talking about what's the impact on EBITDA in an annualized [indiscernible], if it stays up there?
Edmond R. Coletta: Yes. Corey, I saw that in your note today and unfortunately hadn't connected. But roughly about 1/3 of our volumes are OCC in our business and we're running at about 420,000, 425,000 tons a year in our core recycling business today. So if you take, say, 125,000 tons a year of OCC and $10 a ton, you're $1.2 million, and we typically see about a flow-through impact of 35% to the bottom line from recycling revenue increase due to our various risk management programs. So if you saw a $10 increase to OCC, it would result in about $400,000 of EBIT or adjusted EBITDA.
Operator: Our next question comes from Al Kaschalk of Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: I'd like to try and drill down on what Corey is going after here on price. And I guess, I hear you loud and clear on commercial and residential, 1.4%, 1.7%. But the 50 basis points of price seems low, and likely low with your internal plan. So can you help us, maybe even if you have to add back the weather items, what do you think weather would have been -- price would have been in the quarter absent the weather?
Edmond R. Coletta: Yes. We didn't really look at if weather was causing us to have pricing impacts, Al. In fact, it probably really didn't. We didn't drop price because of the weather. The only place we saw winter impact pricing was, as I laid out a minute ago, in the greater Massachusetts market, we see some of the burn plants get aggressive on price in the winter. But that's really a cycle we've seen for a while and a cycle that will be broken in the near term as capacity comes out of that market. They're -- you're going to see upwards of 900,000 tons of capacity come out of that market over the next couple of years, so pricing discipline should remain year round. But as far as other parts of our business, the roll-off line of business just has been challenged across the Northeast for several years now. Construction activity has been low. And as we pointed out a little while ago, some of our more urban markets were more -- saw higher volumes last year and inventories were down, and we started to push price through late summer. And we need to be more aggressive this next summer.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: What percentage in aggregate is commercial and residential then of the business in terms of mix, therefore, a factoring off of price?
Edwin D. Johnson: Commercial and residential would be about 2/3 of our collection revenue.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. So roll-off was down a good mid-single-digit number?
Edmond R. Coletta: Yes. Roll-off price was down 1.4% year-over-year in the quarter.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. If I look at the days -- or the weather impact and the operating results, I know you quantified that. I don't want to focus on that. But can you help us appreciate how much of it may have been done to higher cost with maybe idle trucks given that the trucks couldn't get there or versus third party or volume not getting to the landfill?
Edwin D. Johnson: Well, okay, I don't know the landfill side of it. I'll let Ned answer that. But on the collection side, what happens when you have poor weather is you can't get to your stops, so you can't get your routes completed. So they end up picking up customers on the weekends and that's all overtime. And on top of all that, we experienced more problems with the trucks because when you have sub-10 or minus 10 to minus 20 degree temperatures, you run into a lot of maintenance issues on the trucks. So our maintenance expense spiked during the bad weather days as well.
Edmond R. Coletta: But our analysis in the quarter, Al, you could go in a lot of different places if you start looking at weather. We looked at 3 factors in that business, and it probably touched in a lot more places. But in the hauling line of business, we look pure at labor productivity and truck hours versus an average winter. And our productivity was 8% to 10% lower, so we just took our labor hours and variable costs and quantified around a $600,000 of incremental costs in our collection line of business in the quarter. On the landfill line of business, we only looked at the revenue side of it. We could really quantify through 4 or 5 storm cycles that we had reduced volumes at 25% to 30% on select days and that added up to 40,000 tons or roughly $900,000 of EBITDA. And on the recycling side of the business, our facilities typically run like clockwork. And the variable cost to process recyclables is usually within a plus or minus several percent range, and we saw a large deviation in the quarter. We saw our processing cost go up roughly $15 per ton and it hit us roughly $600,000 in the quarter. So we didn't go this broad-based brushstroke and look at everything. We just looked at a couple measurable things and it was real, and our cost structure and our revenue base changed in those parts of our business.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: And then finally, on the forward-looking business, how much of the project work that you're expecting strength in Q4 is signed and ready to go versus just waiting for additional maybe paperwork. Or in other words how much are...
John W. Casella: I would say it's about 50-50. About 50% of what we have going in is agreements that are in place. And I think the other 50% is probably somewhere in permitting, et cetera, et cetera. Probably not 50%, maybe 25% of it is in permitting right now and the other permit -- the other 25% is just not under contract or just jobs that have been quoted and that are ready to go.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: I'm sorry if I missed this. But in the quarter, there was a charge related to a -- was that gas or landfill? Can you articulate what that was about no longer commercially feasible or visible?
John W. Casella: Yes.
Edmond R. Coletta: Yes. So there -- we had a development project that was pursued several years ago to provide gas to a customer through a 7- to 8-mile long pipeline with gas-treatment infrastructure and compression infrastructure at the landfill. This project was contemplated 3, 4 years ago when gas prices were much higher. And looking at gas futures and the risk profile to Casella and the ability to finance such a project, it really wasn't going to be a high-returning project to our shareholders. And we exited the gas purchase agreement through one of the contingency clauses. So we had invested money in this project to do engineering and development work, but it was the right decision to step aside because it was not going to create value and it was going to create risk over time.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Was there any capital allocated in terms of CapEx for this in the prior budget?
Edmond R. Coletta: No. These were development costs that were up on the balance sheet, capitalized as part of the project development that we wrote down.
Operator: Our next question comes from Derek Sbrogna of Macquarie.
Derek Sbrogna - Macquarie Research: I just wanted to ask kind of a follow-up on some of this capacity that's coming out of the market in the New England area. Do you have a sense of kind of what the timing on some of these landfill closures is, and how that kind of winds out over the next couple of years?
John W. Casella: Yes. There's several facilities, as Ned said, coming out of the market in Massachusetts. There's 2 facilities in Western Mass and then there's another facility in Eastern Mass that are coming out of the marketplace. We also -- as you know, we saw the Claremont incinerator shut down this year. And I think that there's a potential that we could see more incineration, particularly those smaller facilities, potentially coming out of the market as well. And some of the other larger facilities are also having real difficulty because they're coming off of long-term electric contracts and they're now in the marketplace at a very low rate for power. So I think there's going to be more coming out there. And then you have the, as Ed was saying, you have the whole New York City issue, where they're putting out RFPs, one of which -- one by Covanta. There's another one that's out now. We believe that, that waste will go to upstate New York as well, which would be another, we believe, another 5,000 tons a day, which will push more waste out of the Upstate New York landfills in '15 as well. So I think that there's no question from our perspective that there's fairly significant capacity coming -- going to continue to come out of the market. There's also the Hadley facility, South Hadley facility, also I believe it was out of the -- would be out of the market this month. That's a smaller landfill, but nonetheless, it's another facility. So there'll be 4 landfills coming out of the Massachusetts market in '14 and '15.
Derek Sbrogna - Macquarie Research: Okay, that's very helpful. Have you guys done any sort of analysis to look at where your disposal capacity is relative to these facilities coming out of the market and how much you think you could potentially capture of that excess disposal or excess volume?
John W. Casella: Certainly, we've done analysis around that. We -- it's not something that we're, at this point in time, we're ready to really begin to talk about because it's really premature until those facilities actually close.
Edmond R. Coletta: But you see some of it in our numbers this year, Derek. We had the Moretown landfill, it was closed by regulators in Vermont this last summer. And due to our strong environmental track record, were able to get a permit expansion at our landfill and capture a number of the tons into Waste USA, and it's driven value for us and our shareholders. We also saw Waste Management shutdown the small burn plant in Claremont, New Hampshire. We have transfer infrastructure in that market and we've been able to transfer some of the tons out of that market to our North Country landfill to create quite a bit of value. So our network of assets across the Northeast, transfer inland to assets, are well placed and we have an opportunity to gain market share, as facilities shut down, much like we have over the last 8 months.
Derek Sbrogna - Macquarie Research: Understood, that's very helpful. And I know we've talked a lot about weather, but if I can just ask one more. Is there -- where customers where you have a contract and you may not be -- a customer who's paying a monthly fee, is there any margin expansion for those customers, given that you may miss a collection period, a couple of collection periods in a month due to the weather, but you're still kind of retaining the same revenue on the top line?
John W. Casella: No. The unfortunate aspect is we don't miss them. I mean, the reality is that we're -- as Ed said, if we've got a snow day and we pull the trucks off the road or in -- more likely an ice day, where we pull the trucks off the road, then we're picking it up on a Saturday or we're working overtime to pick it up, double up on a route, if it's small enough to do that or we're going into Saturday. So there's really not any benefit that we get, it's all negative. When you think about it, if you have numerous, you have many more snowstorms, your productivity goes down from a safety standpoint just getting around, getting the container service, getting everything done, whether it's a toter from a residential standpoint or an 8-yard container from a commercial standpoint, half the time it's in the snow bank, you got to pull it out. It's just -- productivity goes to hell in a hand basket. And if you have an inordinate amount of storms as we did this year, it's not uncommon, right? Our third quarter every year we have snow events, but not at the level that we did this quarter.
Operator: Our next question comes from William Anderson of Stifel Financial.
William Anderson: This is a general question for your team as a whole. And Casella has a good record in the due diligence that they exercise in acquisitions. And is it too soon to say that the BBI acquisition has worked out as expected? Have there been any negative surprises that you would care to address?
Edwin D. Johnson: No, I think it has worked out as expected. Because when we were looking at BBI, the main driver of the value was capturing and internalizing 100,000 tons of waste, which is what they were picking up. On the collection side, we gave ourselves a year in the model to get the synergies out of the operations. So a lot of the synergies from BBI haven't been realized yet. Some have, but not all of them.
John W. Casella: It represents an opportunity going forward for additional improvement and we couldn't be more pleased with the activity that we've had around the municipal contracts that came with BBI, some of which have been renewed on longer-term contracts that will be starting up this summer as well. So it was very -- in our view, it was a very positive transaction.
Operator: Our next question comes from John McClain of Standard Life.
John McClain - Standard Life Investments (USA) Limited: Just keeping on the excess volume theme here and talking a little bit about the Juniper Ridge permit, I know you said you were pushing back a little bit on this. But why such a restrictive cap on MSW and such a short-term permit? And then kind of a follow-on to that, do you expect to fully utilize the 82,000 tons?
Edwin D. Johnson: To answer your second question first, certainly. We expect to utilize the whole amount. It's less than we asked for. As far as the shorter term than we asked for and the restrictions, I think that's normal in the landfill permitting process. You have political agendas in place and it takes time to get things right. People may not approve what you apply for right away, but they have pressures on them to not give you everything you ask for. And we're continuing to work through the process and we're pretty confident that we're going to get what we need.
John W. Casella: Yes. I think it's also fair to say, John, that the request that we had was -- I think was like 93,000 or 98,000 tons. So it wasn't all that much more than what we received at 81,800 tons. But nonetheless, we did go back to appeal it and also went to back appeal the length of time. So -- and I think you've got to keep in mind, too, that we were taking MSW into the site, but only as bypass through incineration. And so this is something that is really put in place, and it's done in conjunction with the hierarchy in the state as well.
Operator: I'm not showing any further questions in queue. I'd like to turn the call back over to John Casella for any further remarks.
John W. Casella: Terrific. Thank you, all, for your attention this morning. Our next earnings release and conference call will be in late June, when we'll report our fourth quarter fiscal year results and provide guidance for fiscal year '15. Thank you, everyone. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.